Operator: Good afternoon, ladies and gentlemen, and welcome to Vermillion's First Quarter 2020 Conference Call. My name is Rob, and I will be your coordinator for the call today. At this time all participants are in a listen-only mode. Following management’s prepared remarks, we will open the call for your questions. As a reminder, this conference is being recorded today. Leading the call today are Valerie Palmieri, President and Chief Executive Officer; Bob Beechey, Chief Financial Officer; and Chris Goulart, Senior Vice President of Commercial Operations. After the prepared remarks, we will open the call for the Q&A. Before we begin, I would like to remind everyone that some statements made during the prepared remarks and the Q&A session, including statements related to Vermillion's expected future performance, future business prospects or future events or plans are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and results are subject to risks and uncertainties could differ materially from those anticipated due to the impact of many factors beyond the control of Vermillion. The company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise. Participants are directed to the cautionary note in today's press release as well as the risk factors set forth in Vermillion's annual report on Form 10-K filed with the SEC for factors that could cause actual results to differ materially from those anticipated in the forward-looking statements. At this time, I'd like to turn the call over to Valerie Palmieri, President and Chief Executive Officer. Valerie?
Valerie Palmieri: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. This afternoon, we will review our first quarter 2020 accomplishments and financial performance. I'll also provide an update on our strategy to manage near-term COVID-19 disruptions, as well as our longer-term plans to emerge stronger when this pandemic is behind us. We firmly believe that our strategy is the right one and that our technology and pipeline will be vital to lowering the overall healthcare burden and reducing inefficiencies in the care pathways. It's all about getting the right patient to the right doctor and finding the cancer at its earliest stage. This mission is the core of our company. I will first focus on the pandemics impact on our company, including the trajectory of the business prior to the crisis and what we've seen so far in the second quarter. We have a four-part strategy to deal with the pandemic. Number one to ensure employee safety and business continuity; all office-based employees nationwide, as well as our sales force continue to work remotely. While keeping their health and safety paramount, our sales team will be able to enter the field in the short-term on a state by state basis in accordance with local guidelines. In fact, some have started this past week in Texas, Tennessee and Georgia. We expect limitations on the number of face to face calls for a period of time in specific geographies. We have also developed protocols and training for the instances where physical visits are allowed to ensure both employee, customer and patient safety. Moving on to our lab operations, our lab operations require on-site essential employees. As previously disclosed, we have stratified the lab operations team such that if an infection occurred it would be localized and not impacting entire workforce. We believe we have taken the proper precautions so that our lab could continue to operate in the event any isolated infection were to impact a portion of the workforce. In addition, we have at least a three to six months supply of reagents in stock, depending on the volume of tests performed and we are working with the manufacturer to ensure a consistent supply over the next six month timeframe as well. Moving on to number two, cash preservation and liquidity management. We continue our efforts to reduce costs such as travel, entertainment and discretionary spends. We are also deferring investments where possible as an offset to expected reductions in revenue. In addition, we are maintaining our commitment to critical product development while reducing spending on higher risk research. With respect to capital management, Bob will review our overall strategy as well as actions regarding available government support. I'm now moving onto the third part of our plan, which is maximizing productive use of employee time and emerging from the crisis even stronger. First, our commercial team is focused on maintaining close relationships with existing customers remotely, so that we can resume our trajectory upon return to normalcy. We have developed a virtual territory management process using a number of tools. These tools include virtual sales rep visits, digital marketing, social media and a provider patient ordering portal. Regarding telehealth, we are developing a process for the genetics offering, which will allow patients to access genetic testing directly. Chris will discuss this in greater detail. For new prospects, we have launched remote learning sessions to continue to expand our new customer base during this pandemic. For our collections, billing collections team, we are refining their scripts and spending more time on collections of AR and appeals of denied claims with a focus on maximizing collection efforts. And lastly, we are proactively managing the employee base with our employee checking calls on a frequent basis. We are very focused on taking care of both the physical aspects of the business in addition to the wellbeing of our team members. The last part of our plan is continuing to work on our product development pipeline in planning the recovery. Starting with recovery planning with the foundation of our CLIA Laboratory, we are looking at offering COVID antibody and antigen testing in two ways. First, ASPiRA LABS will be offering COVID antigen antibody testing. This testing will be part of our current comprehensive pre-surgical risk assessment test offering for GYN providers, which includes proteins and genetics. We will be commencing with the antibody test validation in Q2, and we will be offering the Roche Elecsys Anti-SARS-CoV-2 assay. This assay has 99.81% sensitivity and 100% specificity. Second, we are looking to support the overall testing need in the Connecticut area, which is endemic. We are currently evaluating that with the State of Connecticut to have testing performed in our Connecticut-based laboratory. Moving on to our pipeline. We are capitalizing on this time to focus on all innovation efforts on the development of OVANEX and ENDOCHECK. These studies will compare our new products versus the current standard of care, and we are continuing all activities to get these studies completed. I am now moving on to commercial. We are very pleased with the growth in units as well as the addition of new customers in the first quarter through – through the first two weeks of March. We then experienced some volume reductions as physicians’ offices began closing the week of March 16th. Our volume then leveled off and varied in a range of approximately 40% to 50% of our pre-COVID volume up until the third week in April. Since then, our volume has increased each week over week ranging 19% to 24% increase from the prior week. The March volume decrease was driven by two major factors. Number one, most hospital facilities eliminated elective surgeries and in the case of suspected late-stage ovarian cancer, biopsy confirmed malignancy and chemotherapy was administered without surgery. This allows deferring primary surgery to reduce disease to later say for time. The second major factor impacting volume was deferral of annual visits. Relative to the scarcity of limited operating room capacity available, our test is valuable in triaging patients that need surgery immediately or can postpone surgery. Regarding doctor's visits, we are seeing an uptick in volume in the last week of April, first week of May, which we attribute to the gradual opening of doctor's offices and women resuming doctor's visits in specific geographies. Chris will cover Vermillion’s commercial momentum in detail, but I just want to summarize the overall impact of our investment and commercialization. We have had five consecutive quarters of strong growth. From Q1 2019 to Q1 of 2020, our OVA1Plus quarterly volume grew year-over-year at rates of 27%, 66% and 82% respectively. In Q4, we recorded year-over-year growth of 93% and in Q1 we recorded year-over-year growth of 58%. This was driven by COVID-19, but we were actually running at 80% year-over-year in January and February prior to COVID and accelerating. Also, it should be noted that we commenced commercialization of OVA1Plus in the first quarter of 2019, so year-over-year growth will be impacted by tougher compares, but still compounding as the self – sales force matures. We believe this growth curve is mainly driven by the adoption of our second generation technology Overa as part of OVA1Plus to increase specificity. We believe solving the specificity gap for the first generation tests is a key to changing the standard of care in the U.S. At this point, I'd like to turn the call over to Chris to share our commercialization results in the first quarter and our strategies to adjust to the changes in the market, due to the pandemic, as well as provide an update on our innovation pipeline. Chris?
Chris Goulart: Thank you, Valerie. I'm pleased to provide an update on our commercial efforts. We continue to believe our strategy to penetrate large in IDN and OB/GYN super group through the decentralized platform channel will ultimately pay-off in the accelerated overall adoption of our products. The decentralized arrangement should help our products integrate into the care pathway of the respective institutions and super group. These large deals have a significant lead time and the COVID-19 pandemic may slow down our efforts to finalize these deals. However, our partners continue to engage and we are excited about the prospects of internalization of our technology. We will continue to work in this model as we seek to drive wider adoption of OVA1Plus in our expanded product portfolio. Moving on to our direct sales channel. Our sales force entered the first quarter with momentum to further entrench in their respective territory. Prior to COVID-19 OVA1Plus was continuing to gain traction in the marketplace. We have also created a dynamic report. We plan to release this summer. The dynamic reporting will include OVA1Plus, biogenetic, new proteins and COVID analysis, which is under development. This newly created tool will help clinicians better assess the risk of malignancy prior to surgery. This tool will also better triage high risk and low risk using the power of OVA1Plus’s negative predictive value in times of constrained healthcare resources. Given the resource demand of health systems with COVID-19, it is our belief that OVA1Plus is even stronger diagnostic tool for clinicians. We also believe the combination reporting of HBOC and OVA1Plus will give clinicians both answers in one consolidated report. As each state opens for business, Vermillion is ready with our direct sales channel to continue to educate clinicians on the value of OVA1Plus in the ever changing environment. In terms of ordering physicians, 2,533 physicians ordered OVA1Plus in the first quarter, a growth of 47% year-over-year. This volume was also impacted by COVID-19. With regards to new physicians, I'm pleased to report that we have continued to see growth in new physician addition. During Q1 2020, we added 514 new physicians compared to 433 during the same period in 2019, an increase of 19%, which was impacted by a significant slowdown in March due to COVID-19. Despite the significant slowdown, the number of new physicians was only 2% lower than in Q4 2019. We will be focused on maintaining these customers through the pandemic and believe we will resume the growth trajectory and accelerate it with new product introductions. Valerie mentioned, we have developed a strategy for virtual engagement of existing and prospective customers. We have deployed training and experienced success in conducting remote lunch and learn types of activities as well as virtual conferences, such as ACOG. We are closely tracking engagement of existing customers in each territory, as well as awareness outreach to perspective customers. As States reopen in accordance with local guidelines and our representatives are allowed to physically reenter the field, we have trained the team an appropriate safety protocol. Our strategy is to adapt our approach to reengagement, to each physician office at the appropriate pace, but not a step behind. We plan to resume ordering patterns with each customer as they reopen. I would like to provide an update on our upcoming products and enhancements. Based on our target patient cohort, we have modeled and see a range of one to two quarter delay in best to least optimistic scenarios. I will briefly touch on our most significant studies. I would like to update everyone on our third generation ovarian cancer risk assessment test, which is now branded as OVANEX. We have developed an IRB-approved study to clinically validate the sensitivity and specificity of OVANEX in a Watch and Wait cohort. As discussed on prior calls, OVANEX is designed to address the Watch and Wait population, which is monitored two to four times per year per patient. We believe that this test will help clinicians and patients to better understand the risk of malignancy and if surgery can be delayed. We currently expect the product will be ready for launch by late 2021/early 2022. Next, we are focused on ethnic disparity and plan to expand our published evidence to support driving a change in the standard of care. In December 2019, we initiated a study with Einstein Medical Center, the largest independent academic medical center in Philadelphia. The goal of this study is to review the disparity in testing sensitivity in African-American women, as well as other ethnicities. Based on our published data, OVA1 is 2.38x more sensitive in detecting ovarian cancer in African-American women than CA125 or 79.2% versus 33.3% sensitivity using the 2007 ACOG cutoff. We also discussed on prior calls, our future test, which is an aid in the detection of endometriosis. The brand name is ENDOCHECK. This is a large unmet need in the OB/GYN community as endometriosis is treated based on symptoms and it is unable to detect – be detected without a surgical biopsy. ENDOCHECK will address this patient population with a total addressable market in the U.S. of roughly 6 million to 7 million. We anticipate working in collaboration with the strategic partner and we'll communicate timelines further study upon consummation of final plan. Lastly, we have another test in the pipeline, which is now branded as OvaInherit. It is based on our seven protein biomarkers interrogated by a new machine learning algorithm to monitor those who are genetically predisposed with genes such as BRCA 1 BRCA 2. OvaInherit will have an algorithm trained for this asymptomatic high-risk population. Currently, clinicians can order CA125 in conjunction with ultrasound to assess risk. We believe that our algorithm will outperform this current standard of care and provide better early detection. Despite what we believe will be modest delays in our studies due to COVID-19. We anticipate making progress on our portfolio development and we are very excited about the formal rollout of our product pipeline. Our new products will impact the entire patient life cycle, from the age of puberty with ENDOCHECK to Watch and Wait with OVANEX, the high risk screening with OvaInherit to surgical risk assessment with OVA1Plus. At this time, I would like to turn the call over to Bob for our – for a review of our financial results. Bob?
Bob Beechey: Thank you, Chris. Chris and Valerie have described the continued volume growth in the first quarter of 2020. I would like to comment on our cash preservation and liquidity strategy, as well as our NASDAQ listing status. Product revenue increased 55% to $1.2 million in the first quarter of 2020 compared to $779,000 for the same period in 2019. The increase is due to an increase in number of our test performs. The increase is primarily driven by the launch of OVA1Plus and the expansion of our commercial team during 2019. Our average unit price for OVA1 was $324 for the first quarter versus $337 in the fourth quarter of 2019. The main driver of the sequential decline in average unit price was our payer mix with a substantial increase in patient direct out-of-pocket payment in specific geographies. While we've only seen a slight deterioration in patient pay collections to date, we expect to see a deterioration due to the rising unemployment rate and the overall economic uncertainty when estimating collections associated with our Q1 sales. We've made progress on our contract with Cigna. We commenced submission of claims as of April 1st and are realizing reimbursement at the contracted rate. We're also driving insurance submissions versus allowing patients to pay out-of-pocket. In addition, CMS recently extended our clinical diagnostic laboratory test PAMA price updates from 2021 to 2022 with the $897 Medicare price. The maximum downward adjustment allowed is 10%. So we have limited downside in that element of our pricing and have extended the current price by one year. Gross profit on OVA1 product revenue was $520,000, a 44% profit margin for the first quarter of 2020, compared to $263,000 for the same periods in 2019, a 34% profit margin. Cash balance at March 31, 2020 was $8.1 million. Our cash utilization for the first quarter was $3.6 million. This was higher than the preceding quarter utilization of $2.9 million due to non-recurring legal expenses of approximately $100,000 in support of strategic collaboration agreements, as well as one-time transition costs of $70,000 to bring our billing function in-house. Fees associated with our previous billing arrangement were a percentage of revenue and we expect the internalization of the billing function to be far cheaper when taking into account our expected growth. We're licensing the billing platform technology and have already executed the transition successfully. We also had timing issues where annual payments were made in full in the first quarter, including 2019 bonus payments of $461,000, NASDAQ listing fees of $77,000 and national sales meeting deposits of $30,000. As we previously announced, we successfully amended the terms of our State of Connecticut financing with respect to target employment levels in the state. The revised employment milestones are such that we anticipate achieving them in the second quarter. We were also granted a loan pursuant to the Payroll Protection Program, which was established under the CARES Act, which will be used to fund payroll in the amount of approximately $1 million. We expect to use the proceeds of the loan in a manner that will qualify us for complete forgiveness of the loan under the terms of the CARES Act and the Payroll Protection Program. Lastly, we have the potential to receive proceeds of warrants in the amount of approximately $5 million if our stock price maintains levels above $1.81 through June 1st. There's no assurance that we'll be able to exercise the warrants, given market conditions beyond the control of Vermillion. We therefore have a total of $8.1 million in cash at the end of Q1, we've added $1 million from the PPP, we have the potential for $2 million from the State of Connecticut and the potential for $5 million in proceeds from warrants – warrant exercised a total of $16 million prior to any cash utilization in Q2. Regarding cost control and cash preservation measures we are taking, there are a number of areas of natural savings such as travel and entertainment in the COVID-19 environment. In addition, we have curtailed the use of contractors and consultants and have reviewed our entire vendor spend for opportunities to make reductions. Regarding our NASDAQ listing status as we previously announced, we were notified by NASDAQ that we cured the bid price delisting deficiency when our closing stock price exceeded $1 for 10 consecutive trading days. I'll now turn it back to Valerie.
Valerie Palmieri: Thank you, Bob. Before we open up the call for Q&A, let me restate our optimism for building the company for sustainable growth for the near-term and the long-term. We are adhering to government guidance to flatten the curve on the spread of COVID-19 and are hopeful this will come to a swift conclusion as soon as possible. We are striving to strengthen our position during the restrictions, which we are all experiencing in order to come out of this even stronger in the end. In parallel, we are executing quickly on our larger mission to serve the 20 million women in the U.S. starting with ovarian cancer risk assessment, serial pelvic mass monitoring and eventually tackling the largest disease, endometriosis. Keep in mind, the hereditary ovarian cancer monitoring test, OvaInherit, is incremental to this market, and this product will be for both women with and without a mass. Ovarian cancer accounts for more deaths than any other cancer of the female reproductive system and is the only gender-specific cancer with greater than a 50% mortality rate. Our work in products are at the forefront of changing the standards of care and the detection of ovarian malignancies. We believe we are helping close the gap in detection and, more importantly, survival for women. In the near term, we believe OVA1Plus coupled with our disparity differentiation and genetics testing, will become the standard of care in pelvic mass risk assessment for ovarian cancer. For the longer term, we are also moving forward on our planned launches of OVANEX which is our Watch and Wait products, ENDOCHECK for endometriosis, and lastly, OvaInherit for high-risk genetic predisposition monitoring. Our end in mind is the incorporation of our technology with precision based modalities to allow for noninvasive early detection of gynecologic disease over the entire patient life cycle. In time, our goal is to become the liquid biopsy standard for all of these diseases, inclusive of all ages, stages and, most of all, all ethnicities. We also believe in this new COVID era that healthcare disparities and the importance of diagnostic information might actually be further elevated to reduce disparate care and ensure that all women of every socioeconomic background receive the best possible care. We are now happy to open up the call for Q&A and answer any of your questions. Operator?
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Brian Weinstein with William Blair. Please proceed with your question.
Valerie Palmieri: Hi, Brian.
Brian Weinstein: Good afternoon. Hi.
Valerie Palmieri: Good afternoon.
Brian Weinstein: I know you kind of hit it a little bit in the prepared remarks. But I'm curious how you view your business in kind of a post COVID-19 world? What structural changes do you think are out there for how you run your business, how you interact with clinicians that you're targeting? Just kind of from a broad picture, how do you think the world changes Vermillion?
Valerie Palmieri: Well, I think a couple of things I think that first off is we are seeing – with this – with elective surgeries being delayed, the thought was our volume could have gone down quite a bit. And we're actually seeing a nice bounce back. What we're anticipating is happening is that doctors are really utilizing the test for its triaged capabilities in terms of understanding who's at high risk and who should go to surgery first. So number one is I think there's an opportunity with the rationing of ours that there could be an opportunity where OVA1Plus can actually have greater utility, number one. Number two is because it's not a nicety, it's necessity. I do think that the test will get, so in terms of reps visits, we are seeing virtual visits happening. We are seeing virtual launches happening. I think the GYNs are getting pretty clever in terms of trying to conduct as best they can in terms of practice of medicine with this new domain. But I do think that it will be more virtual. I think it will. It might be more efficient honestly in the end. But I think it's really having the tools in place, so that you can work in the new world because I highly doubt things are going to go back to the old world for a really long time if ever. So I hope that answers your question.
Brian Weinstein: Yes, it does. Thank you so much. And then is there any updates that we should be expecting on anything that you're doing with payers, third-party payers here? And any discussions that are going on? Does the situation with COVID-19 delay any of those discussions? Or are you expecting anything later this year?
Valerie Palmieri: Yes, so now, I think that that still continues surprisingly because I would think that we weren't getting the calls or the meeting scheduled. So I would say that there's a Q where the third-party payers take a look at new technology, which is Q1 and Q2. And I would say that the discussions are ongoing. I think landing Cigna and also getting Cigna priced that that makes a huge difference in terms of pushing the other payers because they're competing against each other in the same markets. So I would say that that is ongoing. I don't see COVID as slowing that. I see in terms of the, I would say, the front-end discussions happening like the backend, I mean, there could be – I don't know in terms of the billing process in terms of them paying, if that's your question or if it's just the front-end, but certainly the front-end is still happening. On the back-end, I think that we are anticipating, as Bob pointed out, some slower return on – because of patients being unemployed and things like that, we factor that into Q1.
Brian Weinstein: Yes, okay. And then as part of your cash conservation that you were talking about, I don't know if you mentioned this or if it's just not relevant, but were there any changes to kind of a sales force or anything like that? Any furloughs or anything going on that we should be aware of? Obviously under the PPP, there's some restrictions there, but I just wanted to make sure I knew what kind of what the sales force size was as we kind of come out of this?
Valerie Palmieri: Yes, so we are at 20 and there's no change – there's no change whatsoever. So it's remained as is. And as I said, with the volume picking up nicely, we're – our plan is to come out strong.
Brian Weinstein: Okay, great. Thank you, guys.
Valerie Palmieri: Thank you, Brian.
Operator: Our next question comes from Jeb Terry with Aberdeen Investment Management. Please proceed with your question.
Jeb Terry: Hello, Valerie.
Valerie Palmieri: Hey, good afternoon.
Jeb Terry: Good afternoon. So the 19%, I think you said 19% per week, that's pretty dramatic recovery. So have you kind of filled in the valley at this point?
Valerie Palmieri: Yes, into that question, I would say that, last week was a rather strong week because we only had limited sales team members out there, as I mentioned in the three states. So I would say that we were surprised to see the uptick happening on a weekly basis. And it also, again, we're still at the data's early, so we're still not where we want to be, but I would say that with only three states opening and where the volume is, it seems to be recovering nicely.
Jeb Terry: And so with only three states, you’re recovering nicely then presumably, if we get other big states, Texas, California, wherever sounds promising. There was something in the press release that seemed interesting. And that was like your G&A expenses were up because of the legal for collaboration. Can you help…
Valerie Palmieri: Yes. So, we have several collaboration agreements that are, I would say wrapping up. And so these are things that are of size, and that's why we called it out in terms of dollars. So it definitely is these one-time and these are things that we've been working on as I said for awhile. So we wanted to put it out there as one of the variance items for the year-over-year.
Jeb Terry: Okay. Can you say – hey Bob.
Bob Beechey: Yes, thanks for joining. I would say, I would characterize the collaborations more on the product side and not on sales and distribution.
Jeb Terry: Okay. And so there's more than one, it sounds like. So you said, pearl, so by wrapping up, that presumes that they’re either going away or they're going forward, but they seem to be coming to some point of conclusion. Is that a way to look at that?
Valerie Palmieri: Yes, that's correct.
Jeb Terry: Good. We're on pins and needles. So are you going to be reimbursed for the COVID test, how's that work?
Valerie Palmieri: Yes. So there's CPT codes that are in the works right now. Reimbursement, they're actually trying to fast track both the antibody and the antigen reimbursement. So yes, there will be codes. And we have selected a test with very high sensitivity and specificity, as we stated, kind of sat back and waited till because there's a lot of tests out there, it's different flavors. So we really – and this test is currently runs on our existing platform. So there's no incremental capital for running it. So it's really a win-win for us.
Jeb Terry: So when you said the Roche test, so help me understand. So Roche is going to get paid something and you're going to get paid something?
Valerie Palmieri: That's correct. You buy the reagents – you buy the reagents and you run the patient's specimen and then you bill for it. So and there's a large deficit of antibody testing and antigen testing in the U.S. and we really looking at it, not just as from that viewpoint, but as a pre-surgical risk assessment, it is something that we have, in terms of speaking with our customers as a need in terms of them assessing those patients prior to surgery.
Jeb Terry: So that might be a permanent part of the landscape going forward, I guess then?
Valerie Palmieri: It could be. It could be. I mean, I think that I mean, the jury is out in terms of how long COVID is around here, but I think that it's important that we are part of that pre-surgical risk assessment. We're offering a comprehensive offering. The doctors wanted to understand not only the ovarian proteins genetics, as well as the COVID antigen and antibody assessment as well. So it's part of the overall package and how we're offering it to the physicians.
Jeb Terry: Is there any range of expectation on how much the CPT codes would be?
Valerie Palmieri: I think it's – I think some of the data's not out yet, Jeb, but that's something that will be in public domain. So it's sort of I want to say that depends on the CPT codes. There's a couple of new ones getting approved, but it will be in public domain in terms of the range of it. And it's fairly profitable as well. It's a very simple test. And I do think that, again, it's something – again in terms of efficiency and personnel, labor and capital, we already have that in place.
Jeb Terry: I see. So it's not dimes or nickels, it's maybe a hundred – maybe a three-digit number instead of a two-digit number. I don't know.
Valerie Palmieri: So yes, I would follow-up. I mean, it's definitely, just to give you kind of a ZIP code for it. So the antibody test is in that, let's just say, $50 to $75 range. And the antigen test is somewhere in that, I'm going to say its $130 to $140 range just to give you a ZIP code on it.
Jeb Terry: Okay. That's very helpful. Well, thanks very much.
Valerie Palmieri: You're welcome.
Operator: Our next question comes from Kyle Mikson with Cantor Fitzgerald. Please proceed with your question.
Kyle Mikson: Hi guys. Thanks for taking the question.
Valerie Palmieri: Hi, Kyle.
Kyle Mikson: Hi, good afternoon. I was wondering if you could tell us what has been driving the recent strength in the product gross margin, is this 40% level a new run rate and how may the Cigna coverage help the margin in 2Q onwards? Thanks.
Valerie Palmieri: Sure. Yes. So in terms of the improvement in gross margins really it's a leveraging of our fixed costs. So we have the capacity to really do 1,000 tests a day. And so we had the technical labor to manage that. So as you add volume, our gross margins go up substantially higher. And then the second question is in terms of Cigna. Yes. So we started billing Cigna in April 1. Cigna is a certain percentage of our volume. And prior to that, that was being built out at a patient price. So we now convert that to the Cigna price and we're looking forward to, this is something we've been working on for a while. So this is a big deal for us in terms of getting Cigna contract and then getting Cigna priced.
Kyle Mikson: Okay, thanks. That makes sense.
Bob Beechey: Yes. And Kyle, this is Bob. Look forward to meeting you. Thanks for dialing in. The one thing I'd suggest you think about general cost structure is – the variable is really just the region. That's relatively modest per test. It's like $20-ish. And then we have a pretty wide range of blood draw fees ranging from zero to slightly north of $50, but our labor is more or less fixed in the short-term. So this is fairly, it would go up in a step function, but we don't see that happening in the foreseeable future in terms of significant labor additions or capital expenditures. We've got enough capacity to probably triple our current volumes from where they were before any COVID impact.
Kyle Mikson: Okay. That makes sense. I appreciate all that color. I wanted to just talk about the patient pay as well. So high in Q1, that makes sense. What implications have you seen in like April or maybe early May that patient pay may be a little bit higher than relative to like last year or maybe its lower compared to the April level or March level. Anything you can share that will be helpful. Thank you.
Valerie Palmieri: Bob, do you want to take that?
Bob Beechey: Yes, we're a little uncertain. I mean, to be honest with you, in the month of March, we saw a really good spike in patient payment. And I think, unfortunately I think a lot of people were home and caught up on their bills. We're a little worried about the tail and that's more of an intuitive issue of where would these bills fall for people in their range of priorities if they're out of work or worried about their future. So as I mentioned in the prepared comments, we haven't had a big impact. The other thing that's relevant is, as people – as we get further into the year, less about April, individuals start to make their deductibles pay off and get a higher percentage of insurance. So we're trying to guide – the main issue about this patient pay is about half of the population we have insurance coverage. So our policy is if a patient – it's a marketing program more geared for the physician to assure them they're not going to get – their patients are engaged at surprise bills, but frequently what happens is a doctor will tell a patient they're eligible for the patient pay price. And even if they have insurance, they push for paying the – we basically price at $195. We've – if they don't have insurance, but sometimes if people haven't made the deductibles, they want to pay the $195 as opposed to making the claim. So we try and push them to make the insurance claim. But as the year goes on, that becomes the natural course of business. They submit the claim. So it’s less about the cycle we work through.
Kyle Mikson: Okay, got it. And obviously, that's going to dilute the ASP. That makes sense. Okay. Thank you very much for that. And then just a last one, I heard about the PPP on this, I could hear you guys received a payment, but was there any other payments related to CARES Act that you guys received? I know there were certain funds received by participating Medicare providers. Were you a part of that, I just kind of was wondering?
Bob Beechey: Yes, we received and we disclosed it in 10-Q. We didn't think it warranted the press release, but we received $89,000 in stimulus payment in April. That came from the Health and Human Services department. So it's not material, but it's fully disclosed in the 10-Q.
Kyle Mikson: Perfect. All right. That's very helpful. Thank you so much guys for taking the questions.
Operator: We have reached the end of the question-and-answer session. At this time, I’d like to turn it over to Valerie Palmieri for closing comments.
Valerie Palmieri: Thank you everyone. Thank you for joining us today. As you can see, we've made quite a bit of progress over the last quarter and continue to make progress with our technology and with our pipeline. With our commercial footprint, our guideline endorsed and differentiated test, a differentiated portfolio of tests within the same call point and substantial payer coverage, we believe we are in a position to support continued growth and profitability. Our end goal is to serve the large global pelvic mass population and overall women's health market with a platform, coupled with proprietary science and data tools, which will drive better health and well-being to each patient we serve. Thank you for joining us today, and we appreciate your support and interest in Vermillion.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.